Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:02 Good morning. My name is Chris, and I'll be your conference operator today. At this time, I'd like to welcome everyone to the MMLP First Quarter 2022 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session.  00:29 Thank you. Sharon Taylor, CFO, you may begin.
Sharon Taylor: 00:35 Thank you, operator and good morning, everyone. I'm joined today by Bob Bondurant, CEO; Randy Tauscher, COO; David Cannon, Controller; and Danny Cavin, Director of FP&A. 00:49 Before we get started with our comments, I will remind you that management may be making forward-looking statements as defined by the SEC. Such statements are based on our current judgments regarding the factors that could impact the future performance of Martin, including facts and assumptions related to the impact of the COVID-19 pandemic, but actual outcomes could be materially different. You should review the risk factors and other information discussed in our SEC filings and form your own opinions about Martin's future performance. 01:24 We will discuss non-GAAP financial measures on today's call. Please refer to the table in our earnings press release posted in the Investor Relations section of our website to find information regarding those non-GAAP financial measures, including a reconciliation of historical non-GAAP financial measures referenced in today's call to their corresponding GAAP measures. 01:48 And now, I will turn the call over to Bob for his remarks on our first quarter 2022 results. Bob?
Bob Bondurant: 01:56 Thanks, Sharon. For the fifth consecutive quarter, Martin Midstream Partners exceeded its EBITDA forecast as a first quarter 2022 adjusted EBITDA was $40 million compared to our published forecast range of $28 million to $30 million. As we began the year, our leadership team had confidence we could beat published guidance with the extraordinarily strong first quarter performance even exceeded our optimism. 02:26 Although, several of our business lines beat our Q1 forecast, the majority of our outperformance came from our Fertilizer and Land Transportation business line. Because the fundamentals continue to remain strong in these two businesses, along with strong fundamentals in our packaged lubricant and grease business improving Marine Transportation fundamentals, and increasing sulfur production at a Beaumont area refineries. We have increased our guidance to a new EBITDA range of $110 million to $120 million for 2022. 03:00 While this range is less than our trailing 12-month adjusted EBITDA of approximately $124 million, we wanted to give updated guidance that we feel is comfortably achievable. However, our business segment operating teams continue to be highly motivated to exceed their guidance range and I'm optimistic that they have both the opportunity and ability to beat our new published forecast. 03:26 Now, I would like to discuss our first quarter performance in more detail by business segment. As I mentioned earlier, we had adjusted EBITDA of $40 million in the first quarter compared to adjusted EBITDA of $30.9 million in the first quarter of 2021. For the first quarter, our largest cash flow contributor was our Sulfur Services segment, which had adjusted EBITDA of $15.3 million in the first quarter compared to $9.2 million a year ago. 03:56 In this segment, our Fertilizer business had adjusted EBITDA of $11.8 million in the first quarter compared to $7.1 million a year ago. Market conditions for our Fertilizer group were very strong as pricing for fertilizer rose throughout the quarter due to tight supply. This rising price environment provided for stronger fertilizer margins than we're originally forecasting. 04:22 Our pure sulfur side of our Sulfur Services segment had adjusted EBITDA of $3.5 million in the first quarter compared to $2.1 million a year ago. The primary reason for the increase in performance was due to the improved refinery utilization and increased sulfur production year-over-year. This year in the first quarter, inbound sulfur volume into our Beaumont system exceeded over 3,000 tons per day compared to less than 2,500 tons per day, a year ago. 04:55 A year ago in the first quarter, Gulf Coast refineries were negatively impacted by Winter Storm Uri resulting in significantly reduced sulfur volumes handled by our company. Looking towards the second quarter, we believe fertilizer fundamentals will continue to be favorable and subject to weather conditions, fertilizer cash flow performance should also be strong. We should also see good performance from our pure sulfur business in the second quarter as PADD 3 refinery utilization has been running around 94% in April and daily sulfur production that we handle has been greater than the first quarter. 05:35 Our second largest cash flow contributor in the first quarter was our Terminalling and Storage segment, which had adjusted EBITDA of $11.6 million, compared to $10.6 million a year ago. The growth in cash flow primarily came from our margin based Packaged Lubricants and Grease businesses, as our fee-based terminal assets generated cash flow of $6.6 million for both periods. 06:00 Combined our Packaged Lubricant and Grease business had adjusted EBITDA of $5 million in the first quarter, compared to $4 million a year ago. Compared to a year ago, we experienced increased sales volume and margins, due to strong fundamentals in both these businesses. Supply remains tight, which continues to lead to stronger margins than a year ago. 06:23 Looking towards the second quarter, our fee-based terminals should have similar cash flow as the first quarter. We also believe our Packaged Lubricant and Grease businesses will also have similar cash flows in the first quarter as strong demand will assist in maintaining current margins. 06:44 Our third largest cash flow generator was our Transportation segment, which had adjusted EBITDA of $10.5 million compared to $2.7 million a year ago. The land transportation portion of this segment has shown remarkable improvement in cash flow, as adjusted EBITDA was $9.5 million in the first quarter compared to $3.7 million a year ago. A year ago in the first quarter, our load count averaged only 350 per day, compared to 433 per day this year. Strong refinery utilization along with employing 20 more drivers on average than a year ago has contributed to the increased load count which drives revenue growth. 07:30 Additionally, due to the tight supply of trucking services, we have been able to increase our rates which has helped to significantly improve our driver pay which is added both growth and stability to our driver pool. These rate increases have also allowed us to stay ahead of the inflationary cost pressures we have been facing. Looking towards the second quarter, we continue to see strong fundamentals in our Truck Transportation business and anticipate another strong quarterly performance. 08:03 The second piece of the transportation segment is our Marine Transportation Group, which had adjusted EBITDA of $1 million compared to a negative $1 million a year ago. This $2 million improvement was primarily driven by increased utilization of our Inland Fleet and full utilization of our one offshore tow. Our average day rate is up only slightly compared to a year ago, with the market supply of vessels relative to demand had become more balanced and we are beginning to see improving day rates. Looking towards the second quarter, we see this trend continuing and with these improving fundamentals, we should see solid cash flow in our Marine business in the second quarter. 08:46 Our final business segment to discuss is our Natural Gas Liquids segment, which had adjusted EBITDA of $6.6 million compared to $12.2 million a year ago. The decline was attributable to our butane business as volume was down approximately 600,000 barrels in this year's first quarter, compared to a year ago. However, last year was unusual as refineries delayed purchasing butane from the fourth quarter of 2020 to the first quarter of 2021 due to price backwardation. So effectively, last year's first quarter volume and earnings were unusually high, while this year's first quarter volume and earnings were more in line with our historical norms. 09:31 Looking towards the second and also the third quarter, our cash flow in this segment will decrease significantly as we begin our butane inventory purchases to be delivered into storage. This will last through the end of August. We should then start to see sales began again in September, as refineries start to purchase butane in order to blend into gasoline so they can then meet relaxed winter vapor pressure rules. 10:00 This concludes my operating performance discussion for the first quarter and outlook for the second quarter. Now, I would like to turn the call over to Sharon to discuss our balance sheet, leverage and capital resources.
Sharon Taylor: 10:14 Thanks, Bob. I'll begin with a walk-through of the debt components of our balance sheet and bank ratios, discuss capital spending during the quarter, remark on the excess cash flow offer and tender results that were announced during the quarter, and conclude with a brief walk-through of our updated 2022 financial guidance. 10:36 At March 31, 2022, the total of our long-term debt outstanding was $489 million, down from $506 million at the end of the fourth quarter. Outstanding debt consisted of $143 million drawn under our $275 million revolving credit facility, $54 million of secured 1.5 lien notes due 2024 and $292 million of secured second lien notes due 2025. Total available liquidity was approximately $107 million under our revolving credit facility. 11:17 At quarter end, our adjusted leverage ratio was 3.87 times and our first-lien leverage ratio was 1.09 times, both these leverage calculations include our working capital supplement carve-out which excludes certain debt attributed to our seasonal NGL inventory build when the inventory has been either forward sold or hedged. At March 31, the total debt excluded from the adjusted leverage and first-lien leverage calculations was $9.5 million. Importantly, due to the seasonality of our NGL business, we do anticipate that the carve-out will have a more meaningful impact on our leverage ratios during the second and third quarters, when our revolving balances are projected to increase due to higher inventory volumes and elevated commodity pricing. Our interest coverage ratio was 2.47 times at the end of the quarter and the partnership was in full compliance with all banking covenant. 12:27 Next let’s focus on capital spending during the quarter and update our full-year capital expenditures outlook. First, growth capital expenditures were approximately $3.1 million for the quarter, which includes approximately $1.6 million for the new Martin Transport Terminal in Florida. Due to timing of certain expenditures, the total for the quarter was slightly below guidance that the full year growth CapEx forecast remains approximately $8 million. 13:02 Switching to maintenance capital expenditures. From our guidance, we anticipated maintenance capital requirements of approximately $22 million for the year, which included estimated turnaround cost of approximately $4 million. The first quarter, we were slightly below our estimate of $6 million as maintenance capital spending was $5.4 million, again most of that from timing differences. However, at this time, we anticipate our maintenance capital spending to be slightly higher for the year, as a result of increased material and labor costs. So we are revising guidance from $22 million to $25 million. 13:45 Concerning the excess free cash flow offer that was announced on March 15th and closed on April 13th. As per the covenants in our secured second-lien notes, the partnership is required to annually as long as our leverage ratio remains above 3.75 times, make a cash tender offer to repurchase notes at par using at least 25% of our calculated free cash flow, which for 2021 was approximately $9.3 million. When the offer expired on April 13, approximately 589,000 in principal amount of notes were tendered. We made payment on the tender notes along with accrued interest on April 14. The total payment was approximately 600,000. The remaining excess cash flow has been used to reduce borrowings under our revolving line of credit. 14:47 Turning to the revision to our 2022 guidance, which can be found on Slide 4 of the latest presentation posted to the Investor Relations section of our website. Recall that when I discussed guidance on the last earnings call, management believed we were being conservative with our assumptions and there was more upside than downside risk. We anticipated supply chain issues and inflation to negatively affect demand for our products and services, impacting our results early in 2022. 15:23 We have reworked those assumptions, pushing then later into the year and are revising our adjusted EBITDA guidance to between $110 million and $120 million. We still anticipate improvement in our Transportation segment year-over-year, as both the land and marine divisions are experiencing favorable conditions resulting an increased utilization of our assets, along with higher market rate. The increase to adjusted EBITDA guidance coupled with the slight rise and maintenance capital spending results in a full-year forecast of between $37 million and $47 million in distributable cash flow and between $29 million and $39 million of adjusted free cash flow. 16:08 I will now turn the call back to the operator for Q&A.
Operator: 16:13 Thank you.  Our first question is from Selman Akyol with Stifel. Your line is open.
Selman Akyol: 16:29 Thank you. Congratulations on a very nice quarter. So I guess, so let me just start with, I guess on the guidance, because I guess I would have thought it would go higher than that. It sounded like you guys are being very conservative, but -- again isn't Q2 typically the weakest quarter of the year for fertilizer or? Yeah, I guess just talk a little bit how that's starting out and then I guess the weakest quarter is third quarter, but maybe you can talk a little bit about the dynamics of what you're seeing right now in the second quarter and then if you look out into the third?
Randy Tauscher: 17:12 Specifically to -- Selman, this is Randy. Thank you for the question and I'll let Sharon get into the guidance, but specific to the fertilizer. That's correct, the third quarter is traditionally the weakest, sales are slowest during that quarter and we have a pretty heavy turnaround slate during the third quarter generally. Specific to the second quarter in fertilizer, the macro environment is as good as we've ever seen it. You've seen what's happening with food prices and projections and shortages around the world. We have observed what's happening with fertilizer, excuse me, with fertilizer prices and we would expect that if we have a good weather during the planting season and exports materialize after the domestic planting season like we think they will -- we think, we are going to very strong fertilizer year.
Bob Bondurant: 18:13 And I'll make a comment regarding guidance. In my opening statement, we want to go with guidance we felt, my comment was very comfortable with achieving, but I did make a comment, I feel there is still optimism up to the upside of that. I think to Randy's point, fertilizer remained strong. I think our Land Transportation remains strong and we're getting some tailwind now in the Marine business and then also the Lubricant Packaging business remains tight. So we've got some real tailwinds in our businesses, but what happens in the fourth quarter, we don't have great visibility, there's inflation, tamp down their macroeconomic world we live in, unsure, but I will say this, I think we have more tailwinds and headwinds at this point in time.
Selman Akyol: 19:02 Got you. And then I guess on the land transportation, did your customers started talking about turnarounds at all. Is there anything from that standpoint that we should be thinking about as we go forward on the land side? I mean, I heard you're getting more expenses you've get better rates to help offset that, but I'm just wondering if they go into a turnaround, should we expect volumes to fall off or do you see any of that?
Bob Bondurant: 19:34 No. We haven't been advised as too many turnaround schedule around the refineries on the Gulf Coast for the spring. And when you look at the current, with the current 3-2-1 (ph) crack specifically the diesels impact on that, we think the refineries are going to run as hard as they possibly can, as we head to the summer months. So, the other comment around the land transportation is, we have grown in our chemical side and we have grown on the fertilizer side over the last several years. So while the refinery customers are very important to our business, the chemical plants and the fertilizer plants are also -- and they are all running very strong just like the refineries are.
Selman Akyol: 20:25 Got you. That's very helpful color. And then, I guess just on the marine. I mean, I know we're coming off of a really low base, but can you talk about sort of maybe magnitude of increases you're seeing there as you said you're seeing I guess the turning to the market things are hardening. Any comment you can make about what rate of increase you're seeing in rates?
Bob Bondurant: 20:51 Yeah. You're right. The first quarter last year was low. The refinery utilization in the first quarter a year ago was very low, and therefore, our utilization came off a very low base from one year ago. So, we had a $2 million improvement approximately in that business. First quarter 2022 relative to the first quarter of 2021, we expect to see continued improvement in utilization and we have already seen continued improvement in the rates. For most of the first quarter, we were $6,600 to $7,000 a day for the day rate for our two barge tows. And now we are seeing more on average $7,500 to $7,600 a day. So the rate improvement had been substantial. We're still not where we were pre-COVID, where we were $8,850 a day for the rate. So we still think there's room to run on the rates.
Selman Akyol: 21:56 Got you. And then, again, I very much appreciate all that. Can you just say when those rate started improving during the first quarter was this -- I mean did you start-off sort of January 1 or first couple weeks of January. Is the $7,600 rate or $7,500 rates or did not really happen until like in February, late February, I'm just trying to get a sort of a run rate in my mind of how the increases came through?
Bob Bondurant: 22:26 Sure. The first quarter was largely $6,600 to $7,000, all the way till the very last half of March. In the last half of March is when we started to see the rates improve.
Selman Akyol: 22:40 Thank you very much for that. And then I guess the continued, it looks like you guys obviously you are going to have more cash flows, is the main goal still just focus on the balance sheet or are there any other small CapEx projects that you're looking at, that maybe you could be adding, maybe buying additional rigs for the transportation business. Just any additional investments in the business that might drive further cash flows?
Sharon Taylor: 23:13 Right now, we don't have any additional investments like that even small ones, except for the small growth CapEx that we've talked about. So we continue to look at excess cash flow, paying down debt, continue to have the target of 3.75 times leverage and I think that we're focused on that. I'm not saying that if something interesting were to come our way that we wouldn't go ahead and invest, but right at the moment, the numbers that we've provided you are all focused on continued debt repayment.
Selman Akyol: 23:51 Okay. Well, thank you very much again. Very nice quarter.
Bob Bondurant: 23:54 Thank you.
Sharon Taylor: 23:55 Thank you, Selman.
Operator: 23:58  And it appears that we have no further questions. I'll turn the call over to Bob Bondurant for any closing remarks.
Bob Bondurant: 24:19 Thank you, Chris. At the close of our last earnings call, I mentioned my belief that I saw more opportunity than risk to our businesses in 2022. That our intent was to generate value for our unitholders through expanding services, asset utilization and new alliances, and continue to strengthen our balance sheet through debt reduction. Our employees from the business leaders to the operations and admin teams have focused on opportunities to meet those goals. They have optimize and leverage our assets, they have been cost conscious while offering innovative solutions to our customers and in doing so, delivered cash flows that provide the essential path to delivering. In short, we have solidly executed the plan. 25:02 Looking forward, while there are certainly geopolitical uncertainty combined with inflationary pressures, we are experiencing sustained momentum for our products and services which affirms my belief in our employees and point to a profitable future for our partnership. As always, thank you for your interest in Martin Midstream.
Operator: 25:21 Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.